Operator: Ladies and gentlemen, thank you for standing by, and welcome to AdTheorent's Fourth Quarter and Fiscal Year 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. Please be advised, that this conference is being recorded. I would now like to turn the conference over to your first speaker, David DiStefano, Investor Relations. David, please go ahead.
David DiStefano: Good afternoon, and welcome to AdTheorent's fourth quarter and full year 2022 earnings call. We will be discussing the results announced in our press release issued after the market closed today. With me today are AdTheorent's Chief Executive Officer, James Lawson; and Chief Financial Officer, Patrick Elliott. Before we begin, I'd like to remind you that today's conference call will include forward-looking statements based on the company's current expectations. These forward-looking statements are subject to a number of significant risks and uncertainties, and our actual results may differ materially. For a discussion of factors that could affect our future financial results and business, please refer to the disclosure in today's earnings release and our other reports and filings with the Securities and Exchange Commission. All of today's statements are made based upon information available to us today, and we assume no obligation to update any such statements, except as required by law. We will also refer to both GAAP and non-GAAP financial measures during the call. You can find the reconciliation of our GAAP to non-GAAP measures included in our press release posted to the Investor Relations section of our website at www.adtheorent.com. All of our non-revenue financial measures we discuss today are non-GAAP unless we state otherwise. With that, let me turn the call over to James.
James Lawson: Thank you, David, and good afternoon, everyone. Thank you for joining our fourth quarter and full year 2022 earnings call. I'll discuss our 2022 achievements, our high level results and highlights, and then turn the call over to Patrick, who will provide a more detailed look at our fourth quarter and full year results and provide guidance for the first quarter and full year 2023. We accomplished many great things in 2022. We grew CTD revenue 54% year-over-year. We grew our active customer base by 12%. We launched our Direct Access business, which is the only self-service DSP that offers a privacy-forward alternative to the dated user profile focused methods used by competitors. Our predictive models now have access to over 1,000 attributes for impression scoring, up from 200 in 2021, further distancing adherent campaign performance from other DSPs. We revolutionized the concept of what a targetable programmatic audience can be with the launch of our platform's audience builder. We introduced a disruptive health version of our audience builder, and we expanded our technological advantage over competing CTD products with several key innovations that further increase our performance advantage versus the competition. We also received more industry recognition for advancements that elevate the state of programmatic advertising across the open Internet. Among them, AdExchanger recognized us as a top 50 programmatic power player and Digiday recognized us for having the best mobile marketing platform. We also had our sixth consecutive BIG Innovation Award for our privacy-forward machine learning platform, our fifth consecutive win of the AI Breakthrough Award for machine learning, our third consecutive MarTech Breakthrough Award for programmatic marketing innovation and our ninth consecutive year ranking in Cranes New York Best Places to Work. Our strong balance sheet and profitability allowed us to continue investing behind products and capabilities that expand our technological advantage over other DSPs. As a result, we continue to see impressive momentum in each of our core growth pillars. CTV revenue increased 46% in Q4 2022 compared to Q4 2021. Health continued to generate solid interest from advertisers and Direct Access impressions purchased through the platform grew 79% as compared to the third quarter. Now I will speak to these and other core growth opportunities. First, on CTV. No other programmatic platform offers better outcomes-based CTV capabilities. CTV should be more than just an upper funnel awareness screen, and we are proving that for our customers. Our commitment to CTV innovation drove 46% growth year-over-year to $5.4 million in the fourth quarter or 10.4% of revenue despite continued budgetary constraints in the advertising industry and a limited marketing investment. As a result, CTV was 9.4% of revenue during the full year 2022, up from 6.1% in full year 2021 and less than 3% in 2020. Our CTV offering wins because we offer a unique product that delivers superior performance as measured by return on ad spend, advanced attribution, strict privacy protections and seamless omnichannel coordination. During the fourth quarter, we deployed new CTV inventory, increasing supply and targeting capabilities through direct publisher partnerships. This improves our scale and gives our advertisers access to more premium CTV content. We also introduced a new CTV solution that quantifies Advent's incremental value to advertiser’s linear TV activity, opening the door to net new linear TV budgets. Looking forward, our use of first-party and customer data to build predictive models for audience quality, together with machine learning optimization at the KPI level is a sustainable competitive advantage versus peers who rely on assumptions based and user profile base targeting approaches. And it is important to note our historic CTV business has largely been focused on managed customers as we scale our direct access or self-service line of business. Among many other benefits, our CTV revenue will further accelerate because we will have access to larger and more sustained budgets from a wider client base. Second, our audience builder products. The industry has been overdue for the transformational change we have brought to the practice of building targetable digital audiences with our new cutting-edge audience builder interface tool, which we refer to as AbbVie. Advertisers can use AbbVie with their own first-party data and/or adherent platform data to create customized ID independent audiences that are powered by Aderant's audience quality algorithms. Competing platforms target ads by activating cookie ID lists or other user ID lists, often with catchy names like moms or sports enthusiasts. But the origins of these ID lists are often not known or shared and their effectiveness is limited. We have invented a better tool to drive actual data-driven audience quality. AbbVie combines everything advertisers already love about AdTheorent with the ability to use primary source data signals to define their target audiences. For example, in-market auto shoppers likely to purchase a car in the next 3 months. It uses those parameters to limit campaign delivery to that desired audience and then further optimizes ad delivery within this audience only based on the statistical likelihood of achieving a campaign-specific KPI such as purchasing a product. This is a giant step forward from the Black Box ID list used by other programmatic platforms. It also reduces third-party audience fees, providing incremental margin or AdTheorent platform users while helping us redefine the market. Third, our health vertical. We have a unique and powerful rate to win in this vertical, which is our largest and fastest growing. Health advertising is more complicated than other sectors due to stringent privacy laws and large generalist DSPs do not have the techniques, safeguards or solutions to operate effectively in this vertical. Generally speaking, advertising to likely condition sufferers or advertising based on medical data or health inferences, cannot be done lawfully on a one-to-one basis, but other DSPs are premised on one-to-one targeting through ID-based audience lists. And the one-to-one workaround historical used in health advertising have been incomplete or deficient. Our innovations in Q4 changed the landscape dramatically, and we are excited to be in market with these new offerings, which will build on the existing momentum that drove our 21% health revenue growth year-over-year for full year 2022. Our advantage in this vertical is pronounced, and we are poised to capitalize on it in the immediate future. Our health audience builder, which we refer to as HAVI elevates our core audience builder by customizing it for this important vertical. We introduced this in Q4 as well. HAVI leverages anonymized and primary source pharmacy and medical claims data, allowing advertisers to explore, create and activate new ID free predictive health audiences in a matter of hours rather than the weeks or months that it takes to curate traditional health audience segments, which are ID-based. For example, customers can use HAVI to build statistical, predictive health audiences such as people diagnosed with high cholesterol within the last 12 months who were prescribed X medication and had the script filled at Y Pharmacy. We are thrilled to report the results from one of our early successes with predictive health audiences built using HAVI. During the quarter, we executed a campaign intended to reach people suffering from a specific mental health condition, encouraging them to ask their doctors for the medication by name. In a head-to-head test, predictive health audience is built with HAVi outperformed third-party audience segments by more than three times on this KPI and drove 77% of overall patient engagements despite equal ad dollars being allocated to each platform in the test. This was possible because our tools allow programmatic advertisers to target audiences in a more precise data-driven and less opaque manner. Our client was impressed and has already expanded the number of campaigns running with Adaire [ph] adding video and display campaigns as well. With increasing scrutiny around the use of personal health information, our privacy forward ad targeting methods position us to capture a significant portion of the nearly $16 billion in annual health care advertising spend. Next, on other verticals. Health was our first use case and the reason we built our platforms audience builder interface, but the opportunities extend beyond a single industry vertical. Although AbbVie can be used as is in any vertical, we will be releasing additional vertical-specific AbbVie solutions in 2023 that will further elevate performance and accelerate growth in other verticals. Beyond our audience builder functionality, we rolled out a number of other capabilities during the quarter that will enhance our right to win in other verticals. First, driving real-world consumer in-store visitation is an important KPI to quick service restaurant or QSR and retail and travel advertisers. And we have made a number of enhancements to our visitation models that are driving even greater campaign in performance. Our ML models now distinguish density differences in rural versus metropolitan areas to ensure physical visits are most accurately attributed back to ad served impressions. Our visitation models now also evaluate visits on users' mobile devices that resulted from ad served impressions to those same users' desktop or CTV devices, giving us a clearer and more comprehensive picture of consumer in-store visitation. These enhancements give our models more signals to consider, which will generate measurable ROI uplift for advertisers using our platform. Second, we expanded our performance driving points of interest capabilities into Canada, making us even more competitive in this important market. As a reminder, our POI capabilities provide deep location context data across over 33 million POIs and 17,000 categories, improving our targeting and modeling. Third, we added a new shopper marketing solution for our CPG clients that allows us to optimize and measure in-store sales for shopper marketing campaigns focused on single retailer sales, such as in Walmart or Walgreens. Finally, we introduced sentiment analysis into our platforms targeting and ML modelling logic. This supports all verticals, but here's a quick example for how sentiment helps in the automotive vertical. Traditional DSPs target user IDs that have visited an automotive website or that appear on a site showing the vehicle being advertised, not realizing that the page is actually a negative review. AdTheorent can utilize this negative sentiment as a signal in its models or explicitly target away from this content, ultimately improving performance for the advertiser. Looking ahead, we have several exciting launches slated for Q1, including a product catalog that allows us to serve ad experiences based on the exact products or content browse on a given advertiser's website. We will also launch augmented reality ad units, which enable us to provide interactive ad experiences with virtual information placed in a real-world environment, allowing shoppers to try on sunglasses or hats, for example. We remain committed to introducing additional vertical solutions to drive exceptional results for our clients, which will improve our growth trajectory. Moving to Direct Access. Our Direct Access offering is a transformative self-service business model that gives us access to much larger budgets and spend commitments. And as a result, it offers a meaningful incremental revenue growth opportunity. Since we started building our award-winning platform in 2012, our focus has been the brain, VML engine, operationalizing complex data science processes, algorithm creation and automation, platform optimizers and more. We have pursued the difficult campaigns with sophisticated brand customers because we have the unique tools to deliver ROI as measured by real campaign outcomes. Our platform's user experience has traditionally been tailored to our internal super users. In 2023, that changes with the launch of our modern UI and new platform front end, which will combine the industry's best programmatic brain with an equally impressive user experience and workflow. This will fuel growth opportunities that will transform Aderant [ph] essentially making our award-winning brain more accessible. This will create a truly turnkey offering for large agencies and brands, successfully removing barriers to adoption for this incremental customer, enabling them to make larger spend commitments and quickly driving superior return on ad spend on our platform with no specialized knowledge or training. Early market feedback and results from Direct Access remain extremely encouraging. Our Direct Access platform retained all beta clients in 2022 and during the fourth quarter, most of them sophisticated global advertisers and digital ad impressions served for Direct Access clients rose 79% sequentially, highlighting the substantial impact of our ongoing investment in this initiative. Although we are still very early, the clients and campaigns we secured during the quarter spanned several key verticals, including CPG, pharma, B2B and government. These gains came despite partners' typical reluctance to test new solutions during the fourth quarter. Now I'd like to switch to our market opportunity in the context of recent and near-term financial performance and the current macro environment. Many of the near-term dynamics we discussed last quarter remain, including reduced or deferred ad budgets, campaign delays and vendor consolidation. Even though these dynamics limit our near-term growth prospects and as Patrick will discuss in a moment, we intend to be cautious when we forecast near-term growth. We believe that these market dynamics are temporary and that our opportunity and the shareholder value we are building is much bigger than our growth rates over the next few quarters. In 2023, we expect to continue to grow as we have in different macro environments for the past 11-plus years, and we will do so profitably. We believe that we have the most important thing, better technology and a machine learning premise that is perfectly suited for the emerging privacy norms and accelerating privacy requirements, including among them, California's recent amendment to its privacy law and four new state digital privacy laws effective in 2023. Because of that, we are confident we will gain share and generate sustainable growth and profitability when the environment normalizes. To date, holding company media spend consolidation has been limited to self-serve platforms. But in 2023, we have a direct access platform that we believe is additive and better, allowing us to participate in this immense opportunity. We believe in time, we'll benefit from that as we continue to show that our platform and our price efficient and outcomes-focused predictive advertising is an important component of a well-rounded media buying tech stack. Similarly, we believe we have a rate to win with more large brands who are in-housing media buying capabilities and looking for alternatives due to the hidden fees, lack of fee transparency, conflicts of interest and unclear ROI provided by other programmatic platforms. We are eager to have more of those conversations. In times of uncertainty and volatility, it is more important than ever to stay true to our core values and maintain a long-term perspective. While we recognize the challenges posed by the current macroeconomic backdrop, we remain committed to delivering on our strategic priorities and investing in our future growth. We are able to do so given the strength of our balance sheet and strong cash flow characteristics. By staying focused on the fundamentals and taking tight control of costs, we are confident in our ability to navigate these choppy waters and emerge even stronger. As macro headwinds subside, our investments in innovation and operating with a lean cost structure will enable us to fulfill our commitment to generating strong top line growth and returning to historic levels of profitability. With that, I'm thrilled to introduce Patrick Elliott, who is appointed AdTheorent's CFO effective January 30. Patrick brings a wealth of experience and expertise to our executive team and joins us at a critical moment in our company's evolution, as we continue to expand our footprint and drive long-term value for our customers and shareholders. With a track record of financial leadership and strategic insight, Patrick is ideally positioned to help guide us through the opportunities and challenges ahead. At SkillSoft, Patrick played a key role in driving growth and innovation, leveraging deep insights into the financial drivers of success and a commitment to excellence at every turn. The wealth of knowledge and experience he brings to our team will make him a strong partner to me, the Board and the entire organization. Please join me in thanking Chuck Jordan again for his contributions and welcoming Patrick to our team. We look forward to working together to build a great future for our company and our stakeholders. Thank you. Patrick, I'll now turn it over to you.
Patrick Elliott: Thanks, James. Good afternoon, and thank you all for joining us today. I am delighted to share that AdTheorent had a strong quarter and year, thanks to the hard work and dedication of our exceptional team. AdTheorent's leadership in the ad tech space is truly remarkable, and I'm excited to be part of a company that drives innovation and success. I'm thrilled to take on the role of Chief Financial Officer and be part of a company that aligns with my vision and values. Chuck has led us through significant milestones in becoming a publicly traded company and has helped build a strong finance team, facilitating a very smooth transition for me. Throughout my career, I have demonstrated valuable senior financial leadership in diverse technology companies that have experienced strong growth and emerge as leaders in their industries. At AdTheorent, I will help drive both strategic and operational priorities to create value for stakeholders. And I am confident that with our talented team of innovators and cutting-edge technology, we will reaccelerate growth and bring adherent to even greater heights. I am pleased to announce that the company achieved a record level of revenue in 2022 with total revenue for the year reaching $166.1 million, exceeding the high end of our previous outlook. In Q4, our revenue also surpassed our expectations, reaching $51.8 million, a decline of 5.8% compared to the same period last year due to the impact of macroeconomic conditions and the contraction in advertising budgets across several industries, particularly in our retail and financial services verticals. This led to lower revenue from our average customer during the quarter. Nevertheless, we saw a 12% year-over-year growth in active customers and impressive growth rates in our areas of investment, including 46% growth in CTV, strong performance in direct access and positive momentum in our health vertical. These achievements are a testament to our strategic investments, and we remain committed to pursuing the enormous opportunities ahead, as Jim mentioned in his remarks. In discussing the remainder of the income statement, unless otherwise noted, our references to our expenses and operating results are on a non-GAAP basis. You can find information on the most directly comparable GAAP metrics in our fourth quarter earnings press release. In the fourth quarter, our adjusted gross profit, defined as GAAP revenue less traffic acquisition costs, was $33.7 million, representing 65.2% of revenue and surpassing the high end of our outlook of $29.8 million to $33 million. This compares to 66.1% of revenue in the same period of the prior year. Regarding operating expenses, we recorded $46.2 million in the fourth quarter, down from $65.1 million last year or $47.9 million last year, excluding nonrecurring transaction costs and management fees related to our Go Public transaction. The increase in adjusted operating expenses as a percentage of sales to 89.3% in the fourth quarter of 2022 versus 87.1% in the fourth quarter of 2021 was driven by higher public company costs, particularly in insurance and continued investment in future growth opportunities, such as our health care platform. We partially offset these increases by implementing operational efficiencies, including a modest reduction in headcount relative to Q3. Our adjusted EBITDA for the quarter was $10.1 million, down $5.1 million compared to Q4 2021. However, this result exceeded by $2.3 million, the high end of our outlook range of $5.3 million to $7.8 million. Our adjusted EBITDA margin was 30% for the quarter, down from 42% last year, reflecting the higher operating expenses already discussed. The company's continued strong profitability demonstrates our resiliency and agility amidst an ever-changing market landscape. Now for the full year. To summarize, Aderant's full year revenue for 2022 was $166.1 million, slightly up from the previous year. The increase was driven by strength in various vertical segments such as Health, which was up 21% in 2022 and growth within channels like CTV, which was up 54% in the year. This was largely offset by other vertical segments that were more impacted by the macro backdrop. Adjusted gross profit for the full year was $109.8 million or 66.1% of revenue, which was above the high end of the expected range and flat with full year 2021, which was also a 66.1% margin. For the full year 2022, operating expenses were $164.8 million, roughly flat with the $164.4 million of operating expenses in full year 2021, which included $25.4 million of nonrecurring transaction costs, management fees and onetime lease termination fee. Adjusted EBITDA for the year was $22.3 million, which was a 20.3% margin against adjusted gross profit. This exceeded expectations but was down from the previous year due to investments in sales and technology talent, cost to stand up a public company infrastructure and investments in data related to some of the new products Jim discussed. Moving to our balance sheet. We closed out the year with $72.6 million in cash and cash equivalents, which is $4.7 million more than we had at the end of the third quarter of 2022. Our free cash flow for the year was $10.8 million, which is $19.4 million higher than the previous year. This increase was largely due to onetime costs related to the business combination and a lease termination fee incurred in 2021. In addition, we paid down $39 million in debt on our revolving credit facility during 2022, and we currently have a strong capital structure with no debt and ample liquidity. Looking ahead to 2023, we see many opportunities for growth and success. Despite challenges posed by external factors such as the global economic uncertainty, we remain optimistic about our ability to continue innovating and expanding our market share. Based on the current business environment, recent performance and current trends in the marketplace, we assume the company's performance will continue to be impacted by the aforementioned macro factors. We will continue to invest in product development, technology and go-to-market to drive growth while we maintain our focus on profitability and generate positive cash flow. For the first quarter of 2023, we expect revenue to be in the range of $31 million to $33 million, which represents a 6.5% decrease at the midpoint compared to the first quarter of 2022. This is our most difficult comparison of the year but is also our smallest quarter. We expect revenue growth to improve in the second half of the year, assuming the macro environment does not worsen. We also expect revenue to grow for the full year, driven by strong demand for our new products from customers across a variety of verticals. Adjusted gross profit for the first quarter of 2023 is expected to be around 65% of revenue, down from 67% in the first quarter of 2022. For the full year, we anticipate adjusted gross profit to be between 64% and 65% of revenue compared to 66% in 2022. The slight decrease in AGP margin is mainly due to changes in product mix. In the first quarter of 2023, we expect adjusted EBITDA to be approximately breakeven -- for the full year, we anticipate adjusted EBITDA margin to be between 16% and 19% of adjusted gross profit compared to 20% in 2022. This is due to investments we will make to enhance our platform offerings and accelerate our time to market. In summary, we are pleased with our financial performance for 2022, surpassing our revised expectations for all metrics, both in the quarter and for the full year. Our company is consistently profitable, generating positive free cash flow, and we are strategically investing in growth opportunities to enhance shareholder value in 2023 and beyond. At this time, we would like to transition to the Q&A session moderated by the operator.
Operator: Thank you [Operator Instructions] We'll take our first question from Laura Martin with Needham.
Laura Martin: Good morning. Thank you very much. So, let's talk about CTV a little bit. A couple of pieces on this, James. One is, is it opening new clients for you in CTV? Second, when you - I always think of your competitive advantage as being bottom of funnel. Can you give us an example of where you're -- what kind of products you're actually delivering to CTV at bottom of funnel? And then lastly on CTG, you said a comment about opening linear budgets. Could you drill down on that? That's my first question. Thank you.
James Lawson: Yes. Thank you, Laura, for the question. Yes, CTV is opening the door to new clients. We're quite excited by the enthusiasm we're seeing in the market about the investments that we've made in our CTV offering. We've invested in premium publishers. We've invested in the data that we have accessible in the midstream so that we can make CTV more of a performance channel and less in the only upper funnel channel. We think CTV should be a full funnel channel. It should be a channel that can help advertisers drive outcomes. So, we're seeing a lot of positive receptivity to that. We've made a number of investments in our prebid [ph] integrations to prevent IBT and fraud in the CTV ecosystem. And we've made a number of investments around our POI capabilities and understanding how contextual geo contextual signals can drive outcomes for CTV and then connecting the screens, being able to attribute a conversion, for example, on a sale on a website back to a CTV exposure and being able to give advertisers that holistic view of their media spend. So I think at the end of the day, the clients are attracted to our version of performance CTV, which by definition includes the bottom funnel. And I think the linear budgets are following. I think we have a really interesting opportunity now to drive net new customer opportunities with linear budgets. There are a lot of linear budgets that are seeking more of a data-driven ROI and how they're spending their money on television advertising. And when you can come to the table with a truly differentiated, data-driven way to use CTV ads to sell products to get customers in store, that's a special offering. And a lot of our competitors that are scaling their CTV are more focused on the upper funnel. They're more focused on awareness. So, we think it's a huge, huge opportunity for us that we will continue to invest in, in 2023.
Laura Martin: Okay. Fantastic. Great, thank you. And can you talk about the decision process? Because when you go through the comments, you have a lot of cool new products like direct access, and I know you just launch the health product and the CTV innovations. What is the process by which you decide to allocate resources to the next product? Because I sort of feel like we're getting a little diffused here. So, can you tell us about that?
James Lawson: Thank you so much for that question because I think it's very important to make it quite clear that all of our innovations are focused essentially towards the same goal, which is delivering to the programmatic marketplace and advertisers who are buying programmatic media, a truly accountable and data-driven alternative to the current status quo. And what I mean by that is the investments that we're making are in data and the data that were allowed - that we are able to use to drive performance outcomes. We've invested in data this year so that we could build, for example, our predictive audiences, our audience builders. And what those do is they represent an alternative to the third-party audience segments that are essentially ID lists that are used by literally every other DSP. So, it might seem disjointed, but it's all really part of the same story, which is replacing outdated assumptions-driven ID-based methods, with machine learning-based methods tied back to primary source data so that you can drive outcomes for advertisers. No better example than in health. The health opportunity, the reason why we lean heavily into health is because the regulatory and legal landscape and privacy landscape and health is especially well suited for the benefits that we provide in this marketplace. By using statistics and the probability that an impression is associated with a given condition, a health condition as opposed to an ID in a list of -- in a segment list of individuals that have a health condition based on a user ID, it's foundationally different. So, I think all of the investments that we are making, the products that we are making are designed to drive our core Mission Forward, which is an ML focused, privacy focused, ID independent, programmatic demand-side platform. And on the Direct Access side, that is a different vehicle to get those values in front of customers. So that's just another way that the marketplace can tap into our capabilities. So again, very consistent CTV, Direct Access, our audience builder capabilities and our health focus and verticalization. That's where we see the biggest opportunity for us, and we think that the investments there are going to pay off in a very good way.
Laura Martin: Thank you very much. That's it from me. Thank you.
James Lawson: Thank you, Laura.
Operator: We'll take our next question from Maria Ripps with Canaccord.
Maria Ripps: Great. Thanks so much for taking my questions. Patrick, congrats on your new role. First, I just want to ask you about - first, I just wanted to ask you about some of the factors that may be contributed to outperformance in Q4 relative to your guidance. And then as we look at your sort of full year outlook, would you expect some of the sort of outperformance factors to continue here in Q1 and maybe first half of the year? And perhaps any color you can share on when during the year you would expect to return to growth.
Patrick Elliott: Yes. No, thanks for the kind words, Maria and the questions. Yes. I mean looking back on Q4, we're thrilled to came in above our high end of our range on all metrics. One of the things I'll point out is active customers were up meaningfully. So even though macro conditions definitely impacts us in Q4, our active customer growth was strong. We saw momentum in a variety of our key segments, including health. CTV, as we pointed out, was a strong driver of our growth in Q4. And we've got an encouraging growth in customer response to our self-service offering the Direct Access platform. And looking forward, we believe this goodness will continue. Right now, looking at Q1, we're basing our guidance on the best available information we have through the first 2 months of the year. Q1 is our smallest quarter and our toughest comp, and we still are in a tough macro environment. And we've built in conservatism due to this macro environment and will act to visibility into longer-term and budgets. Q4 is our biggest quarter. And at this point, we have limited visibility. But that being said, we are confident we can grow due to the factors that I mentioned when we had some in health, CTV and Direct Access.
James Lawson: And I would add to that, and Patrick, these are all great points. I think in the fourth quarter, we beat our guidance on EBITDA by 53%. There are a number of factors that went into that. One of them is that we've had AGP margins that have been strong for many years, and that trend continues. And that comes down to, again, the investments we're making in our platform, so that we can optimize campaigns in the most efficient way. So, we can drive performance in the most efficient way possible. The investments that we've made in data, the investments that we've made in fraud prevention, they all make us more efficient. And I think our AGP will continue to be strong as we continue to make those types of investments. So, I think we've had really strong consistent loyalty from long-tenured customers, customers that have been with us for 3 years or more, 70% of our revenue in '22 came from them as Patrick mentioned, we're also landing and expanding. We're signing up new customers. Now in this market, a lot of brands are holding on to their budgets a little tighter, and that's okay. Like we expect that the market, the economy is not the perfect economy. I think everybody knows that. We've heard from a number of our public company peers that there's more of a muted digital ad spend dynamic, but we are completely okay with that. We will invest in the business. We'll focus on the right things. We have a lean team less than 300 people here. And we think that when the market normalizes, we have a really, really good opportunity to get back to the growth levels that we frankly want and that we expect of ourselves. But at the same time, our opportunity is so big that we're not going to make shortsighted decisions based on 1 or 2 quarters, and we're really focused on the bigger picture.
Maria Ripps: Got it. That's very helpful. And then secondly, I think last quarter, you called out record monthly pipeline generation in September. Was that one of the factors sort of driving stronger active customers here in Q4? Or any additional color sort of around conversion that you're able to share? And then maybe more broadly, how have sales cycles sort of been trending here recently?
James Lawson: Yes. The pipeline, we feel good about our pipeline. We do track. We have a lot of detailed metrics that we track internally pipeline is one of them. We feel like there's a really strong pipeline. Now to the extent that there's been softness and we see, unfortunately, more softness in the first quarter than we wanted, we'll have a number of campaigns that will be booked and then they'll be paused due to a budget cut or maybe an inventory issue with a customer. And then our size, it really hits the results probably in a more pronounced way than it would we were a much bigger company. But the pipeline is strong. I don't have the data in front of me about the most recent months. But on a year-over-year basis, our pipeline is superior, much greater than it was relative to last year. We also track things such as our volume-based rate agreements. And we have a number of like 12-month deals with customers, and we try to get those done as soon as possible in the beginning of the year where we give certain incentives, value-added incentives, additional services as well as rate preferred rates for bigger commitments for the full year. And we're happy to say that we continue to get more and more of those. Typically, the spend on those deals exceeds the amount of the commitment. In 2022, we saw a lot more pressure on budgets from our customers. And that dynamic, I think we attribute to the macro. Our campaign performance is strong, and the reason for clients going with us remains as valid as ever. But at the same time, we're just trying to be sensitive to the macro environment with our customers.
Maria Ripps: Great. Thank you very much.
James Lawson: Thank you, Maria. We appreciate it.
Operator: We'll take our next question from John Blackledge with TD Cowen.
John Blackledge: Great, thank you. Two questions. First on the 1Q and the fiscal '23 EBITDA guide. I think it suggests EBITDA margin expansion over the course of the year. Is that just given the expectation of kind of revenue growing again as we round through the year? Can you kind of walk us through that progression? And then the second question on the Direct Access business. If you can just give us some more color on what we should see the bogeys that you guys might talk about in terms of progress in the Direct Access business in 2023. Thank you.
Patrick Elliott: Thanks, John. I'll take the first one, and I'll turn it over to Jim to talk about Direct Access. Yes, as we think through guidance for the year, as I mentioned, Q1 and as you know, Q1 is our smallest quarter -- so our EBITDA is definitely impacted by the fact that revenue in the quarter is smaller. Our business model does have a fair amount of operating leverage in it. So, as we go throughout the year and experience higher order revenue, you will see EBITDA expand. We've guided to essentially breakeven EBITDA in Q1, but do see EBITDA for the full year coming in between 16% to 19% of adjusted gross profit. We have -- we maintain a lot of flexibility in our cost structure. And depending on the macro environment, we're definitely going to be opportunistic and aggressive on managing towards profitability as we have demonstrated in our history at this point.
James Lawson: Yes. On the Direct Access side, we feel the key there to progress is a couple of things. One is we continue to sign up new customers. We have a number of net new buyers, new budgets. These are budgets and buyers that we would not have that access to when we were a purely managed partner or a managed company. We're leveraging a lot of the long-tenured strong accounts that we've had over the years based on performance, and we're educating them about the ability to take adherent and to open up different budgets so that we can be a self-service partner and a managed partner or if they want to transition and invest in the infrastructure needed to set up a trading team internally, then we're there to support them. And we can give them a level of support, frankly, that other DSDs can't give -- so we're the perfect partner for agencies looking to make the transition from managed to sell. And we have a platform that is built, frankly, to drive performance. So, we think that Direct Access is an incredible opportunity. It's going to open up more than 50% of the programmatic market that in the past was not available to us. We're happy that we converted all of our beta clients. Our direct access beta clients are all now active customers. We didn't lose any of them. We got a lot of great feedback from them. And one of the reasons for our UI investment is because we realized that even though like a lot of our engineers and a lot of our super users are super smart and they are really invested in the nuances and the complicated tools that we have that for this to scale, the way we want it to scale, there needs to be a lot of streamlined optimizations and automations implemented into the UI UX. So those - that work is ongoing, and we're very excited about bringing that to market in 2023. And in conjunction with that, we're having conversations, frankly, with bigger media buyers. And I think the UI, the front end that's more kind of modern and industry standard and frankly, bringing something new into this market because operationalizing predictive scoring, individual impressions over 1 million a second and the complicated optimizers in terms of pacing in terms of pricing, in terms of performance. Getting that activated and operationalized by a self-service user required a little more engineering than a platform that, frankly, is just targeting user IDs. So couldn't be more excited about where we sit, I wish the market was a little nicer. But at the end of the day, you take what you get in those markets and we're positive cash flow, no debt. We have what we need to succeed here, and we're going to put our heads down into the work.
John Blackledge: That's great. Thanks for the update.
Patrick Elliott: Thanks, John.
James Lawson: Thank you, John.
Operator: We'll take our next question from Andrew Boone with JMP Securities.
Andrew Boone: Hi, guys. Thanks very much for taking my question. I want to talk about go-to-market. You guys have launched a number of products and understood it was a great answer earlier in terms about how you guys are thinking about just focus there. But can you talk about how you're educating your client base to make sure that they're aware of everything? And where does kind of your sales force fit today within kind of a broad product strategy? Thanks so much.
James Lawson: Thank you, Andrew. That's a great question. We have -- we're fortunate to have a really, really strong, solid, long tenured sales team. Even though we're a smaller work, we have -- we have some of the best in the industry working here at AdTheorent. And they're doing a great job telling our story, to customers. And when we get out and we talk about the reasons why we should win the price transparency, for example, that we offer and direct access, the incredible amount of optimizers that we provide to make campaigns perform better without users having to do anything. The third-party integrations that we have, which optimize performance. There's just so many things that we need to educate the market on because we're trying to go from the status quo, which is an ID-based status quo to a more nuanced non-ID independent version of programmatic advertising. So, our sales team has a more challenging job because when you're responding to an opportunity, sometimes you get - and frankly, John, this is one of the reasons why we rolled out the audience builder. Because in the beginning of adherent business, our thesis was you don't need to think about audiences at all. Because at the end of the day, machine learning can optimize a campaign based on KPI activity. So if you're selling shampoo, then you can serve ads and you can learn from which impressions are leading to shampoo purchases. And therefore, you don't need the front end kind of thinking around, well, who's my audience? And we learned that advertisers have spent a lot of money understanding who their audiences are. And they do want to ensure that when they have a campaign that they're serving ads to people in their audiences. So, one of the things that we said was, you don't want to disagree with your client. You're not going to go to market and say, your approach is wrong. So what we did is you build something better. So, in addition to the KPI specific ML scoring that we have been talking about for the last 11 years. Now we have these audience quality algorithms which sit on top of that, which essentially are an alternative in a more modern version of an audience. And that is an example of how we're trying to go to market and our sales team is doing an incredible job educating customers about this new thing that they might not even know exists. And I wish we had $100 million we could spend on marketing because I think we have a really incredible story to tell. But we take advantage of the opportunities that we have. I think smart people in the industry, a lot of the awards that we have won have been a recognition, frankly, of what we're doing that's quite different. But our sales team is strong. We have low turnover. We have more fully ramped sales people on the team than we did this time last year. We think the results are going to be there. We continue to break new accounts. Our focus is also on bigger, more strategic, more top-down engagements. And that's an area of focus for us, and we think it's going to pay off. And we're also making new friends. We're making new friends in high places. We're making strategic channel engagement. And we think that that's going to help us as well. We're graduating from a small company to try to become a very, very big company, and that's part of that journey.
Andrew Boone: That's a great answer. And then Patrick, you bring some M&A experience to the table. You clearly have a great resume behind you. Can you talk about where your focus is going to be as you get a little bit more comfortable in the seat?
Patrick Elliott: Yes. Thanks, Andrew, for the question. I'm thrilled to be here. I've been here for 5 weeks now, and I'm still learning a ton every day, and we'll continue to. What I've noticed is we have a great team and we have impressive technology. So, I'm not looking to make big changes. I had many conversations with Jim and the Board prior to joining. I'm aligned with the vision and the strategic priorities of the company. I'm here to drive those strategic and operational priorities. And ultimately, I'm here to drive value for our shareholders. So, I'm excited to be here. Yes, I definitely have had a varied career. And like you mentioned, was some M&A sprinkled in. At this point, we think our best investment is going after the large market opportunity that we see ahead of us. We're going to invest in our products, in our talent, in our technology in a disciplined way, still with an eye on our generating free cash flow. But really to be in a position to go after this large market opportunity that we think we're best suited to play in, given our technology and product advantages.
James Lawson: And one thing I would add to that is at our current depressed stock price, which we believe is unhinged from the reality of the value that we represent. It's tough to think about using that stock currency as a tool in M&A. I think it's a process. We keep our finger on the pulse of the industry, and we understand where the opportunities are from an M&A perspective. And I think as our stock becomes more aligned with the value that the company represents that M&A and using that stock currency is a more attractive option. I think at this point, we will put our heads down and we will pursue commercial strategics, and we will certainly explore and I'm so happy that factor CRE brings so much to the table. And even in 5 weeks, I've seen so much value. And I think we're going to get a lot of incremental strategic vision from him being here. So, I think M&A is a part of our future, but it's probably not going to be a part of our future when we have a stock that is $1.50.
Operator: [Operator Instructions] We'll take our next question from John Roy with Water Tower Research.
John Roy: Great. So, James, you were talking a little bit about direct access. I wanted to drill down maybe a little bit more on that. I mean bigger customers, bigger budgets. Does that mean longer sales cycles? And are these going to be more profitable projects for you guys? I mean what's kind of the profitability look like? And the last kind of element of this was with all your differentiation, are they going to be able to actually get that out of direct access and you're going to have to help them make sure they use it right.
James Lawson: Yes. Thank you so much for the question. The short answer on the first point is, yes, the sales cycles are a little bit longer. We have to be patient there. And especially in a softer macro, I think it's a little tougher to get the requisite meetings and evaluations to get a new integration into a tech stack. So, I think it's a little bit of a longer effort. That goes without saying, and we're willing to do that work, and we are doing that work. Over time, the Direct Access line of business does represent a more profitable line of business for us. It's a lower touch, lower OpEx intensive line of business. So, we're very excited about that. We also think that through direct access, all of the innovations that we've been talking about will be very accessible. The audience Builder is directly accessible and usable within the Direct Access framework. And therefore, you can go in a user can go into direct access and create an audience, a predictive audience either for health or some other vertical activated within our platform, not have to pay a third party for an outdated and deficient ID-based audience, but you can build a statistical audience from our data sets or from the customer data that's right in our platform. So those innovations are all available right from that DA platform. So, we think that there is a learning curve there, and that is why we are reorienting and reengineering the front end so that essentially a relatively new user can get a basic introductory training session in our platform and then be off to the races. And then again, on top of that, we will continue to provide the best service in the industry. Because at the end of the day, our managed business is only going to grow as well. We think that they complement each other quite nicely. And we've seen in the early innings here that from some of our Direct Access customers, we're actually also getting some managed deals, some of the more custom offerings that we provide and also vice versa. Some of our managed customers are saying, for some of these campaigns, we would like to try to do it ourselves, would you help us train up the team? And the answer is yes. So, we think it's a great, great way for us to take all the ability that we -- all the power that we've built into a platform and bring it to market.
John Roy: Thank you for the question.
Operator: We'll take our final question from Dan Kurnos with the Benchmark Company.
Dan Kurnos: Great. James, obviously, retail media or shopper marketing is sort of a hot topic right now and you talked about it along with some AR tech coming out. So, I'd love to kind of hear your thoughts on how you're attacking that market. I think you already have had click-to-cart historically. So, I'm curious on how that's going to evolve. And sort of as a follow-on to the broader commentary you made in your prepared remarks, around the pace of product launch, obviously, health care has some unique facets to it that makes it more targetable for your solution. As we think about other verticals, which you touched on a little bit in your prepared remarks again, just how do we think about your ability to sort of translate into other verticals, what you've done in health care? And how aggressive are you going to be given kind of the choppy background that we see right now?
James Lawson: Yes. Thanks a lot for the question. You asked a few. So, if I forget any, please tell me, but I think Rich, the retail media networks. So, we haven't historically invested in executing the strategic relationships that make the retail media network opportunity imminent as the Trade Desk has done with Walmart Connect. I mean, that's a fantastic example of the power of the retail media network focus. And I think even though we haven't focused on that yet, we view it as a very positive thing for our business. It's good for us because at the end of the day, we have a platform that is capable of being deployed just as the Trade Desk is being used for Walmart Connect. And there will be more than one winner in this area. There's not going to be one platform that is used across the entire Internet for activating the CRMs across retail properties. So at the end of the day, we think if there is an opportunity for us there, we've begun to test the waters in a number of areas that have been successful, as you mentioned, click-to-cart, -- we also have a shopper marketing, the innovation that we rolled out, where we can tie out exposure to incremental sales and show the effectiveness of incremental sales in a single retailer. So we're doing some interesting things using machine learning and incrementality in shopper marketing and retail. But I think that, that has not been our immediate focus. You asked another question about other verticals -- and I think -- I'm glad you asked that question. I think that more to our strategy is that the best way to drive performance is to be laser-focused on a brand's specific business objectives and marketing challenges. And we've invested in the data to drive our vertical solutions. We talked about it in health. We also augmented our big request data that we have available for creating models from 200 to 1,000. We can now leverage 1,000 data characteristics to score impressions. Many of those are relevant to different verticals, not relevant to other verticals. So, we think that our audience builder interface is a very, very viable near-term way for us to create a much more substantive vertical-specific approach across a number of verticals. We're going to roll out the industry's most powerful self-service health platform in 2023. We're delivering all these benefits now and a managed capacity. But this year, the industry will have the ability to research through our incredibly vast data sets from hospital data, insurance data, pharmacy data to create incredibly deep statistical understandings of what condition sufferers look like from a demographic and other data perspective, not tied back to an individual. And I think when you can speak that language and you understand HIPAA and the NAI code and the privacy rules that are uniquely relevant to health care and you know that the KPIs that they're trying to drive, you have a more compelling offer than when you're just trying to sell types that connect supply and demand in the media world. And the same argument applies to travel, hospitality. We had a good year in that vertical, and we have a number of ideas for how we can take that to the next level using our capabilities. And the same goes for other verticals, but we're also focused. We're less than 300 people, as I mentioned. So, we're trying to be focused on the biggest near-term opportunities. But I hope I answered your questions.
Dan Kurnos: Yes, I think you've covered everything. Thanks, James. Appreciate it.
James Lawson: Thank you, Dan.
Operator: And that concludes the question-and-answer session. I would like to turn the call back over to CEO, James Lawson, for any additional or closing comments.
James Lawson: Thank you very much. Thank you for joining us today. As we wrap up the call, I just want to emphasize that despite challenging market conditions, we continue to see strong customer demand, and we have never been more bullish about the future of our business. In 2022, innovation expanded our technological lead over other DSPs, the launch of our Direct Access business increases our addressable customer base and as a business line that performs well even in difficult macro conditions. Across both businesses, we have a unique value proposition that is perfectly suited to today's privacy for trends, and we have proven we can deliver strong double digit growth in areas of investment, like CTV and health. We have compelling innovations launching in 2023 and our strong balance sheet and cash flow will enable us to continue self-funding this investment while still delivering strong profitability. This will further expand our technological lead and enable us to capture a bigger and growing share of the enormous opportunities ahead when the environment normalizes. And large commercial partnerships will arise from these efforts. We appreciate the trust and support of our shareholders and our lean and focused team is committed to driving meaningful results and creating value for shareholders. Once again, thank you for your participation, and we look forward to updating you on the progress in the months ahead.
Operator: And that concludes today's presentation. Thank you for your participation, and you may now disconnect.+